Operator: Hello, everyone, and welcome to the Cardiovascular Systems, Inc., Fiscal 2023 First Quarter Earnings Conference Call. My name is Seth, and I'll be the operator for your call today .  I will now hand the floor to Jack Nielsen, Vice President of Investor Relations. Please go ahead.
Jack Nielsen: Thank you. Good morning, and welcome to our fiscal '23 first quarter conference call. With me today are Scott Ward, CSI Chairman, President, and Chief Executive Officer; and Jeff Points, Chief Financial Officer. Early this morning, we issued a press release announcing first-quarter financial results. You may find a copy of this release on the Investor Relations section of our corporate website. Here, you may also find an earnings supplement that includes additional details on our performance and outlook. During today's call, we will make provisions of the Private Securities Litigation Reform Act of 1995 and include statements regarding CSI's future financial and operating results or other statements that are not historical facts. Actual results could differ materially from those stated or implied by our forward-looking statements due to certain risks and uncertainties, including those described in our most recent Form 10-K and subsequent quarterly reports on Form 10-Q. In particular, the COVID-19 pandemic has created risks and uncertainties for our business, results and operations, financial condition and prospects, which we will discuss on this call. CSI disclaims any duty to update or revise our forward-looking statements as a result of new information, future events, developments, or otherwise. We will also refer to non-GAAP measures because we believe they provide useful information for our investors. Today's press release contains a reconciliation table to GAAP results. I will now turn the call over to Scott Ward.
Scott Ward: Thank you, Jack. Good morning, everyone, and thank you for joining us today. Hopefully, you've had an opportunity to review the press release that we issued earlier this morning. We are really pleased with the state of our business and ahead of consensus. Worldwide coronary revenue increased 8% to $20.9 million, led by strong growth in our support devices and international expansion. We continue to make great progress in our efforts to broaden and diversify our product pipeline. The launch of the Scoreflex scoring balloon is going really well, generating over $1.7 million in sales during Q1, which helped drive an increase in coronary ISD revenue of 70% to $4.5 million. International revenue, which is mostly coronary, grew 40% over the prior year, with strong growth in each of our key markets, including Japan, Europe, Asia Pacific, and Canada. In addition, we launched OAS in 5 new countries during the first quarter, and we are now commercial in 34 countries outside of the U.S. where we have over 1,000 physicians trained to use orbital atherectomy. Worldwide peripheral revenue was about flat at $38.8 million. While we believe the situation in hospitals is gradually improving, sporadic staffing shortages continue to impact peripheral procedural volumes, particularly for lower acuity patients with intermittent quantitation. Our strategy to leverage the presence of our sales force and accelerate our revenue per procedure through the sale of ISDs has been very successful. Importantly, our peripheral revenue per procedure continued to expand, and we delivered $142 per procedure in Q1. We remain on track to achieve $200 of incremental revenue from peripheral ISDs by fiscal year end. In October, we launched our 2.0 Max Crown for peripheral OAS. This device expands the lesions that can be treated with orbital atherectomy and delivers exceptional luminal gain in mixed morphology lesions above the knee. We expect the 2.0 Max will accelerate future growth in peripheral OAS sales. In addition to solid Q1 revenue results, leading indicators like new accounts, new customers trained and new contracts exceeded our expectations once again in Q1. Each of these performance metrics demonstrate solid demand for our products and position us for continued momentum throughout the year. Finally, we anticipate a stable reimbursement environment for our procedures in 2023. Earlier this week, CMS released final physician fee schedule, hospital outpatient and ambulatory surgery center rules, and payment rates, all of which were in line with our expectations. On a positive note, the endovascular ambulatory payment classification will increase 4.2% for coronary atherectomy procedures and 4.4% for peripheral atherectomy procedures that are performed in a hospital outpatient setting. As anticipated, tilting in an 8.2% decrease in atherectomy procedures performed in office-based labs. In total, the weighted impact of CMS 2023 final rules is favorable for CSI and results in a 0.4% increase in reimbursement for our company across all sites of service. Now Jeff Points will provide additional details regarding our first-quarter financial results and our guidance. Jeff.
Jeff Points: Thank you, Scott, and good morning, everyone. I will begin my prepared comments with a brief review of our first quarter financial results. As Scott noted, Q1 revenue of $59.7 million represented 2% revenue growth compared to last year and represented a 4.5% decrease compared to Q4. As a reminder, our fiscal first quarter is typically our lowest revenue quarter of the year due to lower procedure volumes in the July and August time frame. This seasonality typically results in Q1 revenue that is approximately 5% to 6% lower than Q4. At a high level, worldwide peripheral revenue declined approximately 5% sequentially, while worldwide coronary revenue declined 4% sequentially. So our Q1 revenue results were generally in line with our expectations given historical seasonality trends. I will now discuss quantitative comparisons to Q1 of last year. For additional details, please refer to the earnings supplement slide deck on our website. First quarter worldwide peripheral revenues were approximately flat at $38.8 million. In the U.S., peripheral franchise revenue decreased less than 1%. Hospital staffing shortages continue to weigh on peripheral procedure volumes, and we expect some lingering impact related to staffing in the hospital site of service. The understaffing in hospitals is causing the deferral of some peripheral cases and may be accelerating the migration of cases from hospitals to the OBL-sided service. Notably, OBL units increased 16%, while hospital units decreased 4% in the quarter. U.S. peripheral revenue benefited from a 58% increase in ISD revenue, which totaled $2.1 million. First quarter worldwide coronary revenue increased 8% to $20.9 million. In the U.S., coronary revenue increased 1% to $16.4 million. Coronary support product revenue increased 70% to $4.5 million, led by continued adoption of the Sapphire 1-millimeter angioplasty balloons and the recent launch of Scoreflex NC. Coronary OAS units decreased 12% compared to last year, but we believe there are signs of stabilization. Increasing physician use of treatment algorithms for vessel preparation are sorting the use of scoring balloons, IVL and orbital atherectomy into swim lanes. And while third-party data for the period showed depressed procedure volumes for the quarter, we believe this was primarily driven by the aforementioned staffing shortages and seasonality. With these factors in mind, we anticipate that our coronary OAS revenue will rebound in Q2 as the treatment algorithms are adopted and hospital staffing continues to improve. Outside the U.S., quarterly revenue increased 41% to $4.5 million as a result of continued strength in Japan and Europe. Turning to expenses. Gross profit margin was 72%. Margins were negatively impacted by Mix as we experienced an increase in ISD, international, and OBL revenues relative to seasonally lower OES hospital volumes in Q1. Additionally, we continued to experience increased freight costs associated with inflationary pressures. Although we expect inflationary challenges to persist, we do expect gross profit margin to increase sequentially throughout the balance of the fiscal year. Operating expenses totaled $53.9 million, an increase of 3%. SG&A increased 6%, primarily due to increased marketing activity related to the resumption of in-person conference participation. R&D expenses decreased to $9.1 million. We ended the quarter with $144 million in cash and marketable securities and no long-term borrowings. In total, Q1 results were consistent with our expectations. As a result, we are reiterating our fiscal '23 financial guidance. Again, as I noted in August, our guidance assumes a gradual improvement in U.S. hospital procedure volumes over the course of the year. We believe the continued market recovery, combined with improving commercial execution, competitive momentum, new product introductions, and international expansion will drive our revenue to a range of $255 million to $265 million, representing 8% to 12% annual growth. We know that the macro environment remains unsettled so uncertain market dynamics may persist that could impact our current outlook. However, at this time, we anticipate that our financial results, both on the top and bottom line will improve sequentially each quarter as we progress throughout the fiscal year. I will now invite Scott to provide his closing remarks. Scott.
Scott Ward: Thank you, Jeff. So looking ahead, we are confident in our fiscal '23 revenue guidance. Our guidance assumes and ISD growth in the mid-30% range. With improved commercial execution, competitive momentum and the launch of the 2.0 Max Crown, we are confident that we can deliver mid-single-digit flex and the continued momentum in the sale of JADE balloons is driving 66% growth in our support product revenue and our international business delivered 40% growth in Q1. Continued success in international ISD sales and our domestic OIS business is expected to drive fiscal '23 revenue growth. And with less than 8 months remaining in the fiscal year, we remain confident in our forecast. Turning to our pipeline. I'm pleased to share that we have continued to make strong progress against our key product development milestones. We are on schedule to file our 510(k) submissions for our coronary microcatheters in Q3, and we continue to make solid progress towards completing our ECLIPSE clinical trial for coronary OAS. With over 1,900 patients now enrolled, we continue to anticipate completing this study later this fiscal year with the readout of the data, most likely at TCT in calendar '24. Our thrombectomy program is progressing to plan, and our partner in Nova Vascular, remains on schedule to submit the and Nova is beginning to prepare for the IDE and they have initiated discussions with the FDA regarding the clinical trial design. Our drug-coated balloon program has also continued Knowledge, recently completed the first-in-human clinical trial for the coronary indication, and we are pleased to report that the primary endpoints for the study were achieved. This everolimus-coated drug-coated balloon performed favorably in comparison to other drug-coated balloons at this early stage of development. In addition, CVT completed patient enrollment in the peripheral trial, and we expect to review those results next spring. So the DCB program also remains on track. Turning to our IVL program. The coronary and peripheral FDA presubmissions were completed last month and pending feedback from the FDA, we intend to initiate these clinical trials in fiscal '24. And finally, we continue to advance the development of our mechanical circulatory support program. We are preparing to reenter the clinic in Q3 to perform additional human feasibility testing as we continue to prepare for the IDE submission in fiscal '24. Overall, an impressive quarter of development and regulatory process to report. As we noted at our Capital Markets Day in August, with opportunities in thrombectomy, intravascular lithotripsy, drug-coated balloons and mechanical circulatory support, we are striving to advance the standard of care while we expand our total addressable market from about $2.2 billion today to $18.8 billion over the next 5 years, which remain stable, and we made meaningful progress on our pipeline projects and international expansion. I would like to thank our CSI employees for their continued dedication as we deliver exceptional support to our customers and patients. I would also like to thank all of you for your continued interest in CSI, and we will now take your questions. So operator, if you could please repeat those instructions, I'd appreciate it. Thank you.
Operator:  Our first question is from Chris Pasquale from Nephron Research.
Chris Pasquale: I had one question just as we do the math around the peripheral business, it does look like ASPs were down maybe high single digits this quarter. Is that correct? And you talked about improving gross margin over the balance of the year if pricing stays negative in OAS and your mix continues to shift to these procedural support products?
Scott Ward: So I'm going to have Jeff Points to respond to that in just a moment. But yes, you're correct about the ASP reduction. And Jeff, do you want to address the rest of that?
Jeff Points: We did see a little bit higher price erosion. That was really kind of solely in our OBL space. Hospital ASPs remain very, very consistent with the prior year. I think as we look kind of sequentially from Q4 to Q1, I think we started to see the OBL ASP really kind of stabilized the comparison I think you're looking at is year-over-year where it was a little bit higher and kind of in that high single-digit range. But I think that has started to stabilize, and we expect that to continue to stabilize here over time.
Chris Pasquale: Just on the second part, if you could talk about the pathway to gross margin improvements as your mix continues to shift to some of these non-OIS products? And just a follow-up on the OBL piece, we are seeing another reduction there in payment rates. It seems like that setting has actually done relatively well considering some of the reimbursement pressure. What are you hearing from your accounts there in terms of how they're going to deal with that going forward?
Jeff Points: Yes, let me first take the first part of the question, Chris, about gross margins. We do expect that to increase sequentially. As we kind of go throughout the year here, we expect kind of our core OES business to increase from a mix standpoint, kind of be a bigger part of our revenue. Of course, Q1 is always kind of our slowest quarter from a seasonality standpoint. But as that grows, and we have higher kind of margins in our OIS core business in the hospital, both coronary and peripheral, we expect to see gross margin improvement. And I think generally, just with the increase in overall volumes, it goes through our facility. I think that will help on the indirect side as well.
Scott Ward: And Chris, I'll address the second half of that question regarding the reimbursement, the payment rates in the OBL setting. The payment rates have come out exactly where it was expected. In fact, I just returned last night from the Veeva meeting and had the opportunity there to speak with many of our customers about this. And this largely comes as no surprise to anyone. And a lot of the physicians who have either recently started office-based labs or who have been operating in office-based labs over time, report that they have made adjustments in their business practices to accommodate these reductions in the physician fee schedules. Largely, that relates to better management of their inventory cost reductions. But interestingly, for many of our customers, we focus on real high-volume office-based labs that also perform more complex procedures. And as a result, those labs are really managing this reduction in the physician fee schedule by increasing their number of procedures. And so I think you see that in our unit increases. And you can see that our OBL business continues to grow quite impressively. Now I don't really know that this trend is going to continue. We indicated in our comments that we may be seeing an accelerated migration of patients from the hospital setting to the OBL but that's just something we're going to have to watch over the coming year. Coming out of COVID, it's just really hard to predict how and where these procedure volumes are going to be taking place. So that's just something we'll have to continue to update you on throughout the course of the year.
Operator: Our next question comes from Michael Matson, Needham & Company.
Michael Matson: I guess I wanted to ask about the 2.0 Max Crown launch. I know it's only a couple of weeks into the launch here, but what kind of feedback are you getting? And where are you seeing that being used? Is it really limited to kind of the mixed morphology that you mentioned where you have softer plaque mix with calcium or could it even be used maybe just in cases without any calcium?
Scott Ward: Yes, great question, Mike. Thank you. So we're very pleased with the 2.0 MAX Crown launch. This device has actually exceeded our expectations as we did our limited market release, where this product is going to have the greatest impact is in the above-the-knee market segment where we -- or where our physicians are treating patients that have more mixed plaque. And that is where there is a combination of soft plaque and that more calcified plaque. We expect to see this product to actually begin to take market share in that segment. And the other place where this is going to be utilized is where there's a larger plaque burden. So if there's a -- if we have pretty heavily occluded vessels above the knee that are mixed plaque, this product has proven to work very effectively. And we had a meeting on this at Veeva actually over the course of the past couple of days, bringing together a lot of the physicians that had participated in our limited market release and the feedback on this was exceptional. Many of the physicians indicating that they would be converting they're above-the-knee practice over to this product because it's just simple to easy to use, doesn't require any capital equipment. They're already trained on it. It's orbital atherectomy. They know how to use it. Their staff knows how to use it, OBL-cathlabs, know how to use it. So we have high expectations for how this product can contribute to our peripheral OAS growth.
Michael Matson: And is the pricing similar to your other peripheral Crown products orâ¦
Scott Ward: Yes, it is.
Michael Matson: And then just as a follow-up, I wanted to ask one about the balance sheet. So if my math is right, it looks like your cash decreased by about $16 million from last quarter. Is that right? And what -- were there any kind of one-offs in there? Anything unusual, any kind of working capital increases or anything that caused that to go down maybe.
Jeff Points: Mike, thanks for the question. That's actually really what we expected. We always see a much larger cash -- kind of a cash usage in Q1. Of course, it's our year-end, so all the kind of the annual payments get paid out payments for the quarter get paid and such. But that actually is what we expected, and that will be one of the largest cash decrease. Pretty much all of that was from operations. We really didn't have too much related to kind of the ongoing milestone payments related to the pipeline projects. It was really operational-based. And I think as we kind of go throughout the year, I think you'll see that improve. You won't see as much of a cash usage from the business.
Michael Matson: Okay, got it.
Scott Ward: I would just add to that, that over the course of the year, we do not expect to see that much utilization of cash for the operating business. However, as our programs continue to be successful and that's good news, we'll continue to be making milestone payments to our partners as we bring on our thrombectomy portfolio the spring and then our drug-coated balloon program as well. So we do expect to have those payments continue to reduce our cash position over the course of the year.
Operator: Our next question comes from Suraj Kalia from Oppenheimer.
Suraj Kalia: Scott, a lot of commentary in terms of guidance and ASPs, and let me package a couple of questions on those. In the summer, Scott, you had indicated that the effect of competitive trialing was abating. And I believe in your prepared remarks, you mentioned something to the effect competition, your competitive position was stable compared phrasing year. I'd love to get your perspective on where are you seeing utilization changing in your accounts? Are there any -- is there a broad based change or are you seeing certain pockets? And if so, why?
Scott Ward: The trialing of IVL balloons in our accounts has really concluded and has actually been reduced probably over the course of the past 6 months. Where we're seeing the stabilization occurring is in accounts that have had the opportunity to use IVL for more than 6 months in their practice. And what we're seeing after physicians have had the opportunity to determine how to incorporate this new technology into their practice, they're now adjusting their practice to, let's say, a more normalized set of treatment algorithms where OAS once again, is being used to treat more severely calcified lesions, longer calcified lesions and tight lesions where you just simply can't get a balloon to cross. Those, as you know, have really typically been our indications for use. So we're seeing kind of a return to the more normalized indications for use for our product. And that is happening, I think, like I indicated, at sites now that are moving more towards a kind of a more normalized treatment algorithm that they would expect to deploy over time. So that really is what is driving it. We're just seeing the rebound in the recovery of our cases.
Suraj Kalia: Scott, and I'll see my last two questions together and hop back in queue. So in terms of sales reps, Scott, maybe if you could compare and contrast at the beginning of '21, the sales rep productivity number of reps and where are we today? And my second question, Scott, you mentioned about accelerated migration to the OBL setting. Would love to get your thoughts on your outlook, especially given -- it's almost a given IVL is also going to get reimbursement in an OBL setting. So how is the blocking and tackling from an OBL perspective? Any color there would be great. Thank you for taking my questions.
Scott Ward: So our number of sales reps that we have deployed in our -- in the field really have not changed. We, over the course of really the past 5 years, have sustained approximately 200 quota-bearing sales representatives in the marketplace over that time. We also support that group with a number of our -- of clinical specialists and those clinical specialists change, we maintain that channel, and we expect to do that going forward. In terms of the migration to the OBL, as I indicated in response to an earlier question, we are seeing this, in particular, in this past quarter, migration of these patients from the hospital setting to the OBL. I think it's too early to say that, that is a trend that would continue at this pace. But as I indicated, it's something that we'll continue to watch. In terms of the approval of IVL reimbursement in the OBL setting, of course, that is dependent upon the completion of the revision of the CPT lower extremity revascularization codes. And I do not have an update for you on that on the progress of that process. Our understanding now is that those codes may be revised and approved in 2025. But I think as you know, that has been a kind of ever-changing environment that has proven to be pretty recalcitrant.
Operator: Our next question comes from Mathew Blackman of Stifel.
Mathew Blackman: Scott or Jeff, just any color on how the quarter played out month-to-month, more so how you exited the quarter and whether you're comfortable with 2Q consensus is sort of $63 million, $64 million. And I've got one follow-up.
Scott Ward: Matt, thank you very much for that. As Jeff has indicated in his comments, Q1 is always a quarter that is marked by seasonality. And that's not exclusive to CSI. I mean we see that really across many of the cardiovascular companies that are performing procedures in cath labs. So we're no different than the rest of that market. Now if we look at how we performed, of course, our year-end is in June. So July was a see some momentum, but we were really pleased in September to see that strong recovery and the momentum that we kind of always expect to see in September was there. So we had a real strong month in September, and we're pleased with that. And we've also seen that continued momentum as we've progressed into this quarter. In terms of the guidance that you recommend, Jeff, do you want to comment on that.
Jeff Points: So I mean, we certainly plan for sequential improvement really in kind of each of our products. So I think the consensus that is kind of out there, I think, is appropriate, Matt.
Mathew Blackman: And then just a quick one on 2.0 Max. Can you just remind us of the incremental opportunity with the larger count what percent of cases you can address now that you couldn't necessarily access before?
Scott Ward: Yes, this is a fairly large market. This is obviously the market that the other competitors in the market have had the opportunity to participate in unabated for some time. And it's probably about a $200 million market above the knee, and it's a segment that we haven't participated in because of the focus of our technology on these more severely calcified lesions. So definitely a great opportunity for us. And as I said earlier, because it is orbital atherectomy, there's really no customer training that's required. There's no capital equipment. Our sales reps are clinical specialists. So we're well positioned to launch this product and have it make important contributions to our growth over the remainder of this year.
Operator: Our next question is from Jayson Bedford of Raymond James.
Jayson Bedford: Just a couple. Maybe just to put a finer point on the OBL versus hospital breakout in peripheral. Can you just give us an idea of how much of your business in peripheral is coming from the OBL channel?
Jeff Points: Jayson, about a third of our peripheral device revenue comes from the OBL and about two third come from the hospital.
Jayson Bedford: And just for context, Jeff, where was that last year?
Jeff Points: Actually, the OBL was actually pretty consistent with last year. We're $11 million in the OBL. So actually increased slightly from last year.
Jayson Bedford: And just the revenue mix in the quarter was a little different than we expected, meaning support and international revenue was stronger, but you reiterated your annual guidance with respect to the mix. So I guess, my question is, was there anything kind of onetime-ish in either the support or international number?
Jeff Points: No, there was not. Just continued momentum in international. And I think the support product growth was driven by the products that I described in peripheral, the launch of our JADE balloons and in coronary, the launch of our Scoreflex scoring balloon, both of which have really been adopted well and are really starting to gain momentum.
Jayson Bedford: And then just maybe last for me. The technology you guys have been around for a while, and you're still opening a lot of new accounts. I'm just wondering how much is left in terms of opportunity to open new accounts, I guess I'm specifically thinking of the U.S.
Jeff Points: As we look at the U.S. market, I think what you have most likely observed over the course of the past few years is that our new account progress is fairly consistent quarter-to-quarter. We are generally opening up about the same number of accounts, and that might be somewhat related to just the normal turnover that would occur in the marketplace. I would not anticipate that opening new accounts as a strategy becomes a really large part of our strategy because we are in so many accounts across the country. That said, though, there's always opportunity for us. And as you have fellows that are now coming out of programs and they're moving into their practices, that creates opportunities for us to train, educate them, develop them as customers. And then as they move into community hospitals, they move into other sites of service, we can move right along with them and then that results in us opening up new accounts. So that's kind of more the standard and I would say, the relatively stable environment that we're operating in now. So thank you for that, Jayson. I appreciate that.
Operator: At this time, we have no further questions on the call. So I will hand it back to Scott.
Scott Ward: Okay. Thank you very much, and thank you, everyone, for joining today's call. We look forward to updating many of you at the Stifel and Canaccord conferences that we'll be participating in later this month. So thanks, everyone. Have a great day.